Operator: Good morning. My name is Carol, and I will be your conference operator today. At this time I would like to welcome everyone to the J.Jill Second Quarter 2019 Conference Call. On today's call are Linda Heasley, President and CEO of J.Jill Inc., and Mark Webb, Executive Vice President and CFO. All lines have been placed on mute, to prevent any background noise. After the speakers remarks there will a question-and-answer session. [Operator Instructions]. Before we begin, I need to remind you that certain comments made during this call may constitute forward-looking statements and are made pursuant to and within the meaning of the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in the press release and J.Jill's SEC filings. The forward-looking statements made today are as of the date of this call, and we do not undertake any obligation to update forward-looking statements. Finally, we may refer to certain adjusted or non-GAAP financial measures on this call. A reconciliation schedule showing the GAAP versus non-GAAP financial measures is available in the press release issued today. If you do not have a copy of today's press release, you may obtain one by visiting the Investor Relations page at jjill.com. I will now turn the call over to Linda.
Linda Heasley: Thank you and good morning. The challenging start to this year impacted our results materially in the second quarter. We took significant action to align inventories better with demand, address assortment issues where we could, enhanced visual presentation and the store experience, right size the cost structure, and focus on talent. As we implemented what we set forth in our last earnings call we performed in line with our expectations. We have made progress fixing that which needs to be. There is more work to be done. We are continuing to take action in doing so in a way that does not impact the customer experience. To that point we saw good traffic across all channels in 11 out of 13 weeks this quarter.  June and July both had positive traffic throughout the period as we had improved deliveries for those months. We led with product that celebrated high summer with key items that were seasonal essentials and a color palette that resonated well with her, driving good full price sell through. While we continued to work on shortening our lead times, our ability to infuse newness on a monthly basis is already offsetting fashion risk. That will improve further. Our performance demonstrates the infantiality of, and our commitment to, ensuring that we have a balanced assortment that delights her, interspersed with standout unique pieces that become must have items, an inventory position to address demand across all channels. Concurrently we have invested more appropriately in marketing remixing the working media spend.  Our customer continues to be loyal. During the quarter our customer file has grown across new, existing, and reactivated customers. As we pursue new to brand customers and reactivate lapsed customers to grow our customer file we are constantly aware of the essential need to stay relevant and top of mind to our existing customer. We are seeing opportunity to use our data more effectively to identify what triggers a customer's loyalty and spend with the brand. We've always used the data to know who our customer was and what she expected. But now we are digging deeper, gaining insights into why our customer shops the way she does, and what we can do to better serve her.  As I have said before we have some wonderful unique characteristics. Our audience is often overlooked in retail. She is looking for someone to speak to her. We regularly check and tune our business model. For example, we are continuing to test how the catalogs should evolve as part of our marketing strategy and as a component of how we communicate with our customer. In any given day the first touch point many of our customers have with the brand is on mobile or digital devices either through email or social and digital media. The store location is also a critical component of our interaction with the brand owing largely to our engaged store associate base. But the catalog too is an important secondary touch point to these platforms. Indeed she tells us that she takes the catalog to bed with her and falls asleep being inspired by the images and as we digitize more content soon that will shift to our smart device. Regardless of how she chooses to interface she often starts and ends her day with J.Jill top of mind.  I now conclude that we moved too fast at the beginning of this year testing reduced circulation and pages within the catalog as well as postcard mailers. This quarter we returned to a more normalized circulation and contact cadence and our team is working on a go forward strategy that better balances print and digital spend ensuring frequency of contact over specific time intervals. I'm thrilled to announce that we have brought aboard Deanna Steele as EVP, CIO, and CDO. We are committed to making the necessary smart investments to improve overall efficiencies and improve our customer experience across all interaction points. Deanna is reviewing our technology and digital capabilities as well as the blue printing we developed related to our IT project. While she does that, the previously announced project is on hold. We will discuss our next steps in more detail in the future.  Our marketing team under Brian's leadership along with the already mentioned analysis of catalog spending we'll continue our efforts to remix and optimize our working media spend as we improve our brand voice, reach, and imagery. As said last time operational issues corrected in our side it's all about product. I repeat that, it's all about product. Looking to the remainder of the year we will continue to work on improving the product. We have accelerated the use of customer insights to assist in reviewing floor steps for the coming months. Through these exercises we are able to look through our customer's lens and bring more of those views into the process closer to the market. With this work and under Elliot and Shelly's direction we will continue to influence the assortment as we can through the balance of this fiscal year.  As we saw with June and July we can and will change things like color extensions, styling, and visual presentation cues. I'm very pleased that our improved product and merchandising approach has shown predictable results and look forward to more improvement as all that we have initiated comes to fruition next year. Finally with Mark now on board we have done a thorough review of our cost structure and have made some decisions related to overhead and current investment spend. He will discuss that in more detail.  In summary the changes we have made over the past year with respect to talent, brand direction, and affirmation of our customer were done to ensure our long-term profitable growth. The actions we took this past quarter in inventory levels and implementing management and disciplines around our by-processes and practices and addressing our cost structure were intended to move us forward faster. I strongly believe in the strength and power of this brand and then the opportunity that lies ahead. We are confident that the decisions we are making will continue to stabilize our performance and we look forward to continuing to update you with our progress. I will now turn the call over to Mark. Mark?
Mark Webb: Thank you Linda and good morning everyone. As Linda mentioned we made good progress with efforts to stabilize the business during the second quarter. We reviewed capital and operating expenses taking action on both which will not only help us focus on better execution going forward but add flexibility to the P&L. And though total inventory levels are still elevated we have assessed our in-season management processes and we'll bring inventory more in line with demands during the second half of 2019. I will provide more color on these actions and the impact to the P&L in a moment.  For the second quarter total net sales were $180.7 million up 0.6% versus last year's $179.7 million. Total company comparable sales decreased 1.2%. Total direct sales increased 4.9% year-over-year increasing 170 basis points as a percent of total sales for the quarter. Gross profit was 105.3 million versus 116.7 million last year and gross margin was 58.3% compared to last year's 64.9%. The reduction in rate was slightly better than guidance as better full price selling in the quarter helped partially offset the drag from clearing excess product. SG&A expenses were 200.1 million inclusive of onetime events which I will discuss in more detail. Excluding these onetime costs SG&A expenses were 103.4 million or 57.2% of sales versus 97.4 million or 54.2% of sales last year with the increase driven by selling expenses, marketing investments, and expense associated with technology project prior depositing [ph] which we discussed last quarter. During the second quarter we undertook a comprehensive review of SG&A with the intent to reduce excess overhead cost while preserving strategic investments in customer driving areas. While still more work to do this review resulted in reductions in overhead including a reduction in headcount and other expenses and the closing of one floor of excess headquarter office space. We expect to generate approximately $5 million to $6 million in annualized SG&A savings as a result of these actions. Our actions did not include reductions in store selling payroll or marketing spends but we continue to review these investments for efficiency opportunities. We view both selling payroll and marketing as important strategic differentiators for J.Jill so we're proceeding with our reviews with that in mind. Including these actions there are three onetime events included in second quarter 2019 SG&A. First, from the overhead expense review just discussed we incurred onetime charges related to severance, outplacement, and impairment on the office lease right of use asset. Second, we had a favorable settlement related to an insurance claim for inventory destroyed in a cargo ship fire earlier in the year. A net impact of these first two items was a charge of $1.3 million. And lastly, the drop in market capitalization following the Q1 earnings call prompted a review of the carrying value of intangible assets on the balance sheet. This review resulted in a non-cash impairment charge taken in the second quarter of $95.4 million bringing total onetime charges to $96.8 million. GAAP operating income was a loss of $94.8 million versus income of $19.3 million or 10.7% of sales last year. Adjusted EBITDA for the quarter was $12.6 million compared to $29.3 million last year. As a percentage of sales adjusted EBITDA was 7% versus 16.3% last year. The decrease in both dollars and rate was primarily driven by the impact of clearing excess inventory in the quarter. A reconciliation of EBITDA to net income is included in our press release.  Interest expense for the quarter was $5 million versus $4.9 million last year. Tax benefit for the quarter was $3.1 million versus a $4 million tax expense last year and the effective tax rate was 3.1% compared to 27.4% in the second quarter of 2018 driven by the tax impact of the non-recurring items previously mentioned. GAAP net income for the period was a loss of $96.7 million or $2.21 per diluted share compared to income of $10.5 million or $0.23 per diluted share last year. Excluding onetime items, adjusted diluted earnings per share was a loss of $0.05 this year versus income of $0.24 per share in Q2 2018. Turning to the balance sheet we ended the quarter with $29.1 million in cash. Inventory at the end of the quarter was $70 million compared to $61.6 million at the end of second quarter 2018. 2019 inventory includes units removed from sales and held for disposal as well as an increase in the timing of Q3 units shipped and in transit as of the end of fiscal second quarter. Excluding these items on hand inventory as of the end of second quarter 2019 was up 2% versus last year. During the quarter we opened four and closed one store bringing store count to 286 at quarter end. Finally capital expenditures were $3.8 million. Turning now to our outlook for third quarter and the rest of the year. We took aggressive action in the second quarter to right size costs and address elevated inventories. We have also been working to improve our in season management of inventory as well as our buying processes to better balance the units we offer for sale to the demand for those units going forward. We believe these efforts will pay off in the long-term while also providing near-term benefits to gross profit and SG&A. That said we still have more work to do. Inventory levels are still elevated and uncertainty in the macro environment persists and though our sourcing teams have made great progress in the past year reducing reliance on China manufacturing to below 20% of total cost of goods sourced, some list for tariffs are set to begin in September and will nominally impact cost of goods sold in the back half of 2019.  All of these issues are taken into account in our outlook for the rest of the year. With this in mind we expect the following for the third quarter; total comparable sales to decrease between 1% and 3%, total net sales will be between negative 1% to plus 1%, gross margin will decrease about 200 basis points year-over-year. Interest expense for the quarter will be approximately $5 million. Net diluted earnings per share is expected to be $0.10 to $0.12 compared to $0.15 in the third quarter of fiscal 2018. And lastly we expect to open five stores ending the quarter with 291 stores. Turning now to our outlook for the full year, we still expect total comparable sales to decrease 2% to 4% and total net sales to be flat to down 2%. We expect gross margin to decrease about 300 basis points year-over-year. Interest expense is still expected to increase approximately $1 million relative to fiscal 2018. The tax rate for the year is expected to be about negative 3%. Excluding the impairment, the projected tax rate is approximately 27%. Diluted earnings per share which includes the Q2 impairment is expected to be in the range of a loss of a $1.86 to a $1.90 per share. Adjusted diluted earnings per share is now expected to be $0.20 to $0.24 compared to prior diluted earnings per share guidance of $0.17 to $0.21. This guidance includes $0.09 of drag from the technology investment in the first half of the year. During the second quarter we reviewed and took action on planned capital expenditures for the year and are now expecting to spend between $22 million and $25 million for full year 2019. The primary driver of the reduction in capital guidance is the pausing of our technology initiative already discussed. Lastly we continue to expect to end the year with approximately 288 stores.  In summary we have made progress stabilizing the business, taking decisive actions in a swift manner and improving inventory management oversight and discipline. There is still more work to do and we are cautiously optimistic as we head into the back half of the year. That concludes my prepared remarks, I will now turn the call back to the operator for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Janine Stichter from Jefferies. Please go ahead. 
Janine Stichter: Hey, good morning everyone. Question for Mark, just want to ask little bit about the inventory if you could help us parse out the end trends in units versus the units you're holding for disposal, I am wondering if you are occupying [ph] any shipments early due to tariffs?
Mark Webb: Hi, Janine. So the lion's share of the reported increase was more related to in transit and then a sum was related to the inventory that we've removed and are holding for jobber. I think it's more fortuitous that we have earlier shipments coming in, in advance of the tariffs that should present some level of benefit for us but I can't claim that that was a strategic plan for us. It's been so fluid with respect to the tariff situation that really wasn't a strategy for us. To be helpful I think the number that we reported of the on hand units which really is the inventory that we have available in D.C. or in store for sale and we reported that that's up 2% as of the end of the second quarter. The equivalent number at the end of the first quarter was up a little over 4%. So represents some sequential improvement in the carrying level of on hand inventories.
Janine Stichter: Okay, that's helpful. And then just on the tariffs, I think you said a modest impact to the back half of the year from the tariffs that go into place in September. Does that contemplate taking any price increases, or how are you thinking about what offsets you might have there?
Mark Webb: It's all included in our guidance. The team has been working on some mitigation strategies. We've factored in the list for tariffs. I think the latest announcement which was the 15% starting September along with some of the mitigation strategies that we have had. But all of that is captured in the guidance that we provided. 
Janine Stichter: Okay, great. Thank you.
Operator: Your next question comes from Kimberly Greenberger from Morgan Stanley. Please go ahead.
Kimberly Greenberger: Great, thank you so much, good morning. Linda when do you feel confident that the product will fully reflect all of the changes that you need to make such that we'll see more normalized revenue growth and merchandise margins? And then I just had a clarification question for you Mark, on the gross margin the 660 basis points of decline, is that all merchandise margin pressure or is there anything else in there? And on the sourcing out of China, did you say you expect China product to account for 20% or less of your sourcing by year-end this year or what was the timeframe on that? Thank you so much.
Linda Heasley: I'll start while Mark compiles some notes. So good morning. We're making changes to the product as much as we can each successive job that is coming up. And so you'll see in September through the about half of this year building on the things we know she loves and making of course corrections in color where we know that we had some missteps earlier in the year. I feel very excited as we build into next year relative to the direction the new product team with Elliott and Steve on board they have really driven a lot of harking back to what J.Jill just stands for and what we know our customer loves as well as the push forward to where we believe the brand can really take off. So again I see steady improvement through the back part of the year, we're very cautious about it because again those were course corrections where we could. And then I see a nice push forward in Q1 and next year going into for the rest of the year. So stay tuned. Again, I get very excited and my partner over here Mark keeps me tempered down. But again I think you're going to appreciate what you see coming up. Mark.
Mark Webb: Kimberly I'll tackle China first. We as of now the teams have been working over the course of the last I think over a year to bring down the reliance on China as a sourcing country. And so we're below 20% of COGS now and that's kind of an annualized statement but I think we've made that progress now and so that's sort of the current state of China manufacturing for us. The year-over-year decline in gross margin of 660 basis points was primarily remember at the end of the first quarter we had too much inventory and we had talked about the fact that we were going to be moving that inventory through the system either through selling them through stores but we wanted to be conscious of the impact that would have on the selling experience. And also looking at alternative methods so which basically means third party jobbing, etc. The reality is that we ended up jobbing more than we had anticipated and we think that was a financially sound decision because we did see some benefit through to the full price selling and sort of cleared the environment to allow the full price selling that happens with the quarter. So the primary driver was the year-over-year impact of the incremental jobbing that we did this year.
Kimberly Greenberger: Thanks so much Mark. 
Operator: Our next question comes from Paul Trussell from Deutsche Bank. Please go ahead.
Paul Trussell: Good morning. When it comes to the top line could you help us understand how was in store traffic versus your expectations and the same in terms of the direct performance, were you satisfied there? Also help us think about what happened with ticket in terms of AUR and UPT?
Mark Webb: Paul, I'll take it then Linda may want to jump in on the direct performance. So through the quarter from where we guided we came in at the better end of the range of our guidance. So I think you could interpret that we were slightly better than the guidance that we have provided in our expectations. The in store traffic, traffic has not been a problem for us in the store. And I think it's a signal of the strength of the brand and the customer connection that through it all the customer traffic has been strong and that's fairly unique I think in specialty apparel retail. But so traffic hasn't been the issue. The opportunity for us is around the AUR and conversion in the store and we did see some sequential improvement in those metrics as we sort of, I mentioned it on the last question to Kimberly, as we made some course correcting actions in the quarter and decided to move more of our liable excess inventory into a jobber bucket versus trying to move it through the stores. And so encouraged by that result throughout the quarter. As for the direct performance we reported direct sales up 5%, pleased with that result. Linda, I don’t know if there is anything you want to… 
Linda Heasley: Well, I think to Mark's point about conversion. Conversion has been something we're very mindful of across all the touch points, all the channels. Our fastest growing channel is mobile and we know that's we're most challenged with conversion. So we are making appropriate investments particularly in the digital platform to help that conversion better. So we believe that we can move there and then again I think with some of the merchandising, visual presentation, merchandising changes, and product where we could change the product in the back part of the year that's also going to help with conversion in the store channel in particular. So, we think there's some upside here relative to thinking about it smartly and leveraging -- the good news for us is we have the traffic. Now if we can make the shopping experience even easier for her we can drive conversion.
Paul Trussell: Thank you and you spoke to evaluating the infrastructure and doing some right sizing, any more detail or examples there?
Mark Webb: Yeah Paul, we took a look at the overall cost structure and in the quarter we took actions on our corporate overhead including some headcount reductions and the related expenses along with that. In reviewing our space utilization and the Quincy office here we were under utilizing our space so we were able to -- we occupied four floors in a building and we were able to take out one floor which is a little -- almost 25% of our total space. So a good opportunity for us to take that floor out. I would just add that the -- with respect to the financial impact of that there was an impairment on that, it is in the new lease accounting you take an impairment on your right of use asset. And then impact to the P&L there was actually a slight increase in occupancy expense until you affectively sublease your space and then you get the benefit of that in the out periods when you sublease it. 
Linda Heasley: In addition to cost I would also add it's time and decision making. We're working very hard with the product teams that we have in place right now to get decisions made earlier and in sync instead of having to do work and rework. And that's another significant cost. So it's looking at where we can we do sampling, where we can improve the quality of the product to get better full price on let me bring it to market. So there's -- it's a whole body of work that addresses our product development calendar which we know is long and we brought this up before. So there's a lot of work to apply.
Mark Webb: And Paul lastly in addition to that there we are looking at the usual suspects, the discretionary spends around travel supplies, etc. Everyone in the organization has stepped up in a huge way and made good contributions to those expense savings for us. Ongoing we would take a look at more related to the indirect spend in the business, how we can become more efficient in some of our third party expenses, etc, and that work is continuing.
Paul Trussell: Thank you and my last question is just regarding the outlook. Obviously you did a little bit better as you mentioned this particular quarter than the original guidance provided. As we look towards the second half what has perhaps changed or been edited from your prior forecasts with the exceptions of tariffs?
Mark Webb: So, I'll start. We have included obviously the impact of tariffs as you mentioned. We have our expense that impacted the expense activities that we took, we've reflected. The reality is going into the back half. We still remain cautiously optimistic about the overall environment. There is a lot of uncertainty in the macro world, in the news, trade disputes that are going on to create real market movements and that impacts consumer psyche and etcetera, etcetera, right. So in terms of us and the guidance we're looking for continued sequential improvement but we are still taking a stance of uncertainty around some of that more macro impacting stuff.
Paul Trussell: Thank you. Best of luck.
Operator: [Operator Instructions]. Your next question comes from Ike Boruchow from Wells Fargo. Please go ahead. 
Lauren Frasch: Good morning everyone. This is Lauren Frasch on for Ike. As we look at the back half of the year how are you thinking about the cadence of clearing through the inventory you have as you work to right size your levels and its impact on margins, given the amount of inventory you are holding today should the bulk of that margin hit be taken in Q3 and then put you into a clean position by the end of the year? And next step I know Paul's question touched on this a bit but DTC sales accelerated quite a bit as a percentage of total sales, could you talk maybe a little bit what the primary driver of that was? Thank you.
Mark Webb: Sure Lauren, let me start on the margin. So really the excess inventory that we're still holding has been reserved down to the level that we expect to achieve in third party sale, right. So, in terms of the margin hit the 660 basis points in Q2 is really the hit from clearing the excess inventory and we're more on a normal cadence as we -- in our guidance that we provided for the back half of the year. For Q3 implied in Q4 and the full year guidance that we provided, with respect to the direct to consumer acceleration.
Linda Heasley: So, we've been doing a number of things relative to the direct to consumer acceleration. We've -- the new to brand customer and the prospecting we have been doing is most likely to come into the digital platform first. And we had great success with that. We've also been working on our messaging and communication and e-mail. The site messaging, the site layout, the site imagery, the significant investments we've made this past year are really paying off. And you're seeing that acceleration and web ads have been a big win for us. Having a very pointed point of view relative to our product offering that's new and limited in its quantity that we purchased she responded very well to that. So it's a combination of factors that are working to our advantage relative to the direct to consumer channel.
Lauren Frasch: Thank you very much.
Mark Webb: Thanks Lauren.
Operator: There are no further questions at this time. I'll now turn the call back over to Linda for some closing remarks. 
Linda Heasley: Thank you everyone. We look forward to talking to you at our next quarter earnings call. Thank you.
Operator: This concludes today's conference call. You may now disconnect.